Operator: This conference call contains forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934 as amended. Such forward-looking statements include, without limitations, statements regarding trends in the semiconductor industry and our future results of operations, financial condition and business process. Although such statements are based on our own information, and information from other sources we believe to be reliable. You should not place undue reliance on them.The statements involve risks and uncertainties and actual market trends and our results may differ materially from those expressed or implied in these forward-looking statements for a variety of reasons. Potential risks and uncertainties include, but are not limited to: continued competitive pressure in the semiconductor industry and the effect of such pressure on prices.Unpredictable changes in technology and consumer demand for multimedia consumer electronics, the state of and any change in our relationship with our major customers and changes in political, economic, legal and social conditions in Taiwan. For additional discussion of these risks and uncertainties and other factors, please see the documents we file from time-to-time with the Security and Exchange Commission. We assume no obligations to update any forward-looking statements, which apply only as of the date of the conference call.Ladies and gentlemen, thank you for standing by. Welcome to Silicon Motion Technology Corporation First Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After speaker sensation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded.I would like to hand the conference over to your first speaker today, Mr. Chris Chaney, Director of Investor Relations and Strategy. Thank you. Please go ahead.
Chris Chaney: Thank you, Carina. Good morning, everyone. And welcome to Silicon Motion's First Quarter 2020 Financial Results Conference Call and Webcast. As Carina mentioned, my name is Chris Chaney, I'm the Director of Investor Relations at Silicon Motion. Joining me today on this call are Wallace Kou, our President and CEO; and Riyadh Lai, our Chief Financial Officer.Following my comments, Wallace will provide a review of our key business developments, and then Riyadh will discuss our first quarter results and our outlook. We will then conclude with a question-and-answer period. Before we get started, I would like to remind you of our safe harbor policy, which was read at the start of this call. For a comprehensive overview of the risks involved in investing in our securities, please refer to our filings with the U.S. Securities and Exchange Commission. For more details on our financial results, please refer to our press release, which was filed on Form 6-K after the close of the market yesterday.This webcast will be available for replay in the Investor Relations section of our website for a limited time. To enhance investors' understanding of our ongoing economic performance, we will discuss non-GAAP information during this call. We use non-GAAP financial measures internally to evaluate and manage our operations. We have therefore chosen to provide this information to enable you to perform comparisons of our results in a matter similar to how we analyze our own operating results. The reconciliation of GAAP to non-GAAP financial data can be found in our earnings release issued yesterday. We ask that you review it in conjunction with this call.With that, I'd like to now turn the call over to Wallace.
Wallace Kou: Thank you, Chris. Hello, everyone, and thank you for joining us today. I hope you and your family have remained safe and healthy during these uncertain times. Before I talk about our business, let me take a moment to send our thoughts to those affected by the virus and to thank our public healthcare leaders, doctors and nurses, who have been working tirelessly to keep our community safe during this crisis. At Silicon Motion, we have planned accordingly to keep our employees safe and business running. Our employees in U.S. are sheltered and have been working from home. Our large operations in Taiwan with our controller R&D team and our corporate function as well as our foundry and back-end partners located here, have safely been less affected due to solid containment efforts by the government.Nevertheless, in the unlikely event containment is breached, we are ready to roll out necessary work from home contingency plans to maintain business continuity. And in China, our employee primarily in Shenzhen and Shanghai started working from home in late February, and since mid-March have all safely returned to our offices. While we are very much aware of the growing economy consequences of this pandemic. In the near term, our business has held up well despite the challenging broader environment. In the first quarter, we saw the tech food chain restart inventory depleted after long extended Lunar New Year holiday in China and the building of safety stock.Sale to the channel market, which is more fully and dynamic have benefited from restocking. Sales to the OEM market, on the other hand, have largely been uninterrupted, with sales taking place according to forecast.And for this OEM market, we currently have a reasonable procurement visibility through the third quarter. We have also been seeing gradual recovery in Chinese retail consumer demand post a lockdown. In the first, in our first quarter, sales declined 13% sequentially to $133 million, but grew 49% year-over-year. Our SSD controller, eMMC+UFS controller and SD solutions all grew strongly year-over-year. Earnings per ADS for the quarter were $0.80, down from $0.96 in the fourth quarter of last year, but up from $0.42 a year ago. While our business visibility is now more limited due to global economic uncertainties, we believe we remain well positioned to grow our business meaningfully this year led by our growth from all 3 of the key products, SSD controller, eMMC+UFS controller and SSD solutions.Let me now talk more about our key products. Afterwards, I will hand over the call to Riyadh, so he can discuss details of our financial performance and provide guidance. Starting with our SD controllers. Sales of our SD controller were down 15% in the first quarter, but up 40% year-over-year. We expect our positive year-over-year momentum to continue at a more major pace over the balance of this year as the benefit of NAND price reduction last year continued to play out in terms of a stronger OEM interest in adopting more SSD in PCs. PC sales were more than seasonally down in the first quarter as the COVID-19 outbreak affected demand and manufacturing supply chain in China. However, towards the end of the first quarter, we started seeing stronger surge in demand for Noble PC with SSD, driven by work from home and online learning at the rest of the world starting shuttering in place. Separately, towards the end of the first quarter, we started seeing gradual recovery of our SSD sales in the channel market, which includes fragmented retail and online sale in China and elsewhere as well as system integrators for many industry verticals.The channel market will nevertheless remain fully in dynamic with limited visibility. We believe strong demand for PC with SSD will continue into the second quarter. And additionally, we can already see some of these OEM programs extending through the third quarter. While currently PC demand is strong, it is likely demand could weaken later this year as global economy issues worsen.We are, however, expecting client SSD sales to continue growing through this year, even if PC sales were to decline meaningfully due to increasing adoption of SSD versus HDD. TAM prices fell sharply last year, which incentifies PC OEM to design more PC with SSD. As previously discussed, we won a disproportionally large share of SSD controller for these OEM programs awarded to merchant controller suppliers last year.Most of these design wins are now shipping and we expect our SSD controller sales to grow this year, both from increasing adoption of SSD by OEMs and from market share gain. Towards the end of the year, we will be bringing to market 4 different PCIe Gen 4 controller to specifically address 4 different market segments, from enterprise to client, from high-performance to mainstream and value line.Applications covered by our solution will include data center, PC and game consoles. Separately, planning ahead, our engineering work is already well underway in architecting controller for the next-generation of PCIe technology, PCIe Gen 5.Newly returned, the strength of our SD controller sales momentum later this year will depend on NAND supply demand condition and related NAND price expectation. As hyperscale data center demand for enterprise SSD continued to be strong in the second half of the year, incremental supply of NAND for client SSD could be more limited and our cell momentum could decelerate it. On the other hand, our sales momentum could accelerate in second half, if there is excess NAND supply from continued weak smartphone sales and the slowdown in hyperscale data center investments.Moving over to our enterprise SSD controllers. We have been shipping our enterprise controller for both Alibaba and Baidu's open channel PCIe MVNE SSD used in their data center since the third quarter of last year. Sale of these controllers will scale further this year as we ship through the full calendar year and a much larger volume. Separately, we have been shipping our 16-channel SM2270 for Kingston's U.2 datacenter class DC1000M aCd. And our ASM2262EN for Kingston KC2500 SSD with end-to-end data protection, targeting the workstation and high-performance computing market.Now turning to our eMMC+UFS controller for the mobile embedded storage market. eMMC+UFS controller sales declined 20% sequentially, but it grew more than 100% year-over-year. We expect our positive year-over-year momentum to continue, though at a more moderate pace over the balance of the year. A smartphone continued to quickly transition from legacy EMC to newer UFS embedded storage technology.2/3 of our mobile embedded storage controller cells are already UFS controllers. Last year, UFS was adopted primarily by premium phones. This year, we expect a meaningful portion of the much larger mainstream phone segment to also adopt UFS. For the full year, we are expecting strong UFS controller sales to our UFS customer and solid EMC and UFS controller cell to Chinese module maker customers, and anticipate further contraction of our legacy EMC controller sale to our Korean customer.We are excited that our U.S. UFS customers in the industry technology leader, the first to bring to the smartphone market, high-performance uMCP with LPDDR5 mobile DRAM. A product well positioned with OEM to scale rapidly. We are already shipping in volume UFS 3.1 controllers and planning ahead R&D work for UFS 4.0 with data transfer rate even faster than PCIe Gen 4, has already begun. Nearer term, we still have a risk exposure relating to our Korean customer. But let me put this into perspective. Sales to this customer have already smaller than sales to our Chinese module maker customer, and we expect module maker sales grow this year to largely offset this Korean downside risk.Our module maker customer continue to successfully grow their eMMC sale to Tier 2 and Tier 3 low-end smartphone OEM in China as well to set a box, smart TV and other device OEMs. Since COVID-19 has expanded from a regional epidemic to a global pandemic, we now expect demand for smartphone to fall below our original expedition from early this year. In the first quarter, smartphone manufacturing and sales in China were affected by the lockdown in the country. But since the end of the lockdown, smartphone sales in China have started to improve. But with the viral outbreak now a global issue, smartphone demand in the rest of the world has also been affected.Nevertheless, we continue to expect strong UFS growth this year because we believe the transition from EMV to UFS will more than offset weakened smartphone sales.Now I will provide a few comments on our SSD solutions. SSD Solutions sales grew about 15% sequentially in the first quarter and about 70% year-over-year. We expect our positive year to, year-over-year momentum to continue at a roughly, this pace over the balance of this year as our Shannon Open Channel SSD for Alibaba scale further, supported by Ferri industrial SSD sale growth. Beginning in the second quarter, our Alibaba project will be entirely on a consignment basis. Our commercial agreement, where Alibaba procured NAND flash and consigned to us for our contract manufacturing to build SSD.Our Alibaba project are progressing smoothly both in the delivery of SSD as well as engineering work for next year new projects. To summarize, our first quarter performance was within our guidance and we remain optimistic about growing our sales through the rest of the year despite the challenges posed by the COVID-19 pandemic. Our position in each of the 3 main engines of growth, SD Controller, eMMC+UFS controllers and SSD solutions, remains solid, and we are actually working to expand our market leadership with next-generation technology and solutions. We believe scientists and doctors will soon find a way to defeat COVID-19, and we would like to come out on the other side with an even stronger business. Now I will turn the call over to Riyadh to discuss our financial results and our outlook.
Riyadh Lai: Thank you, Wallace, and hello, everyone. I will discuss additional details of our first quarter results and then provide our guidance. First, I would like to mention that our comments today will focus primarily on our non-GAAP results unless otherwise specifically noted. A reconciliation of our GAAP to non-GAAP data is included with the earnings release issued yesterday. In the first quarter, revenue declined 13% sequentially, but increased 49% year-over-year.Controller sales were seasonally soft and furthermore, were affected by China's COVID-19 lockdown. SSD solutions grew sequentially with the ramp of new Shannon data center SSD projects. Gross margin in Q1 decreased to 48.2% from 49.3% in the prior quarter due to changes in product mix. This quarter, sales of lower gross margin SSD solutions grew while higher gross margin controllers declined. Gross margins for both controllers and SSD solutions were stable sequentially.Operating expenses in Q1 were $37.3 million, down almost $0.8 million from the prior quarter, primarily due to slightly lower R&D tape-out expenses. Operating margin in Q1 was 20.1%, a decrease from 24.4% in the prior quarter. Our effective tax rate in Q1 was essentially 0 because of a onetime tax benefit relating to the reversal of a previous accrual for tax risk. This risk did not materialize after recent tax audit, and so the accrual was reversed.Earnings per ADS in Q1 were $0.80 compared to $0.96 in the fourth quarter last year. Stock-based compensation in our operating expenses, which we exclude from our non-GAAP results, was $2.5 million in Q1. We had $372 million of cash, cash equivalents, restricted cash and stock and short-term investments at the end of Q1 compared to $300 million at the end of the prior quarter. We paid $12 million in dividends to shareholders. The second quarterly installment of our $1.40 per ADS annual dividend that was announced in October of last year. We did not repurchase any shares during this -- in the first quarter.Now let me turn to our second quarter guidance and forward-looking business trends. For the second quarter, we expect revenue to grow in the range of flat to up 8% sequentially to approximately $133 million to $143 million. Because of growing global economic uncertainties, we are guiding a wider than normal guidance range. We expect sales growth of all 3 of our key products to be flat to up in the second quarter. We remain optimistic about growing our full year sales and continue to believe all three of our key products should contribute towards full year growth. In the second quarter, we expect gross margin to be in the range of 47.5% to 49.5%, with the midpoint slightly higher than what we delivered in the first quarter.Gross margin for our controllers should remain stable sequentially, and gross margin for our SSD solution should improve as Alibaba sales change to a consignment arrangement. In the second quarter, we expect operating margin to be in the range of 20% to 22%, with midpoint roughly 1 percentage point higher than in the first quarter. We expect our effective tax rate for the second quarter and the full year to be in the 10% to 15% range. We are well positioned financially to weather a potentially severe economic recession. We have a debt-free balance sheet and $372 million of cash.Our business continues to generate strong free cash flow, $33 million in the first quarter. Our flexible capital-light fabulous business model is resilient and has been stress tested.In 2009, during the severe recession that followed the global financial crisis, our sales halt, but we continue to generate positive free cash flow. We quickly rebounded and sales recovered within 2 years. Obviously, this is not a situation that we welcome again, and we do not know the severity of the upcoming economic slowdown but must prepare --but must be prepared. Given limited business visibility later this year, we believe it is more prudent to preserve liquidity, and so we will not be repurchasing our shares during the second quarter.This concludes our prepared remarks. We will now open the call to your questions.
Operator: [Operator Instructions] Your first question comes from the line of Anthony Stoss from Craig-Hallum. Please ask your question.
Anthony Stoss: Nice execution, especially on the gross margin improvement side, guys. A couple of questions. In the past couple of conference calls, you talked about having roughly 1% of the infrastructure spend in Alibaba, and a whole lot of goal for several years later to get to 20%, has anything changed or improved in that, that makes you more confident that you can move well above 1%? That's the first question. Second question, on the ASP side. So in the past, you've talked about taking market share. You discussed that this morning. Can you walk us through kind of conversion from SATA to PCIe? And how your SPs are improving? And then I had a follow-up after those 2.
Riyadh Lai: Tony, first, on the Alibaba business, we are clearly executing very strongly. Our products that, our open channel products from, that we started delivering in the third quarter last year, we continued to deliver. The projects that we were working on last year are now in execution, we have been delivering since the first quarter, and we will deliver throughout the rest of this year. We're already working on projects for next year. So very well set up for further growth next year. And so we're fairly confident that our, the share of business of SSDs at Alibaba will continue to increase in the next few years.To your second question about ASPs and market share. Our ASPs have been improving, and this is a typical situation where we have older product cycle out and newer product cycle in. So we have the SATA recycling, the legacy product cycling out and the new PCIe growing. And then furthermore, Wallace talked about the upcoming PCIe Gen 4 that we will be bringing to market later on this year. So this will all be very helpful in our overall ASPs and margin profile. And furthermore, this, these, as we continue to stay ahead in terms of technology, for example, investing in the PCIe Gen 5, this will help us continue to maintain our market leadership in terms of technology and solutions that we bring to our customers.
Anthony Stoss: Then two quick follow-ups. Wallace talked about having visibility through Q3 now on the SSD control side. Would you expect your Q3 sales from that segment to be above seasonal or above what you've seen in the past? And then also, Riyadh, I know you're not guiding to it but any thoughts just on where gross margins go from Q2 levels into the back half of the year?
Wallace Kou: I think it's very clear to us. OEM customers give us, released the PO to the end of the Q3 and with a very clear forecast. And we do see the program, because every PC OEM, they started to change the new program from end of September. That's why our visibility see the current program extend to end of the Q3. I think regarding our, the momentum for accelerating for the growth, it's all dependent on NAND allocation from a major NAND partner. Because as you know, you all know well, the first half data center demand, very, very strong. Some NAND makers allocating tremendous NAND output to data center. In the second half, the NAND, the data center demand still maintains strong. We see the NAND, our SSD acceleration will be slowed down. However, if data center demand, it become more moderate and smartphone remain very weak, and we do see NAND maker will allocate more NAND to clients SSD controller. So our situation to whether we can see further acceleration of our ASIC controller, all depends on NAND balance in market.
Riyadh Lai: Tony, let me also get to you on your fourth question really to our gross margin profile for the second half of the year. We expect our gross margin for our controllers to continue to remain stable throughout the rest of the year. They've been stable in the first half year, and we expect gross margins for our controllers to be stable for the rest of the year. At the same time, beginning in the second quarter, our gross margins for our SSD solutions have improved a bit with the transition of our Alibaba sales to a consignment business arrangement, which helps our gross margin there. So as the year progresses, what we'll need to focus on is the mix of products, the mix of our controller sales versus our mix of solution sales. The more controller sales, the better our gross margin. And conversely, the more solution sales, gross margin could dip a bit from period to period.
Operator: Your next question comes from the line of Mehdi Hosseini from SIG.
Mehdi Hosseini: I want to go back and revisit the gross margin profile. And your solutions business is seeing improving gross margin because of the consignment. Your mobile exposure, I would expect you would also see a better gross margin because of UFS. In that context, why should gross margin remain stable? Why should it improve from here on? And I have a follow-up.
Wallace Kou: Okay. Let me give you the answer quickly. For Alibaba consignment business, the Alibaba normally, the main ramp-up is the Q3 and ramp down in Q4. So Q2 just started to ramp. So the consignment contribution for gross margin in Q2 is not as significant. Regarding UFS Controller, I cannot comment regarding the gross margin. But I think the primary, we sell to the one of our U.S. customers, but ASP is much higher. However, the volume is also, momentum is higher. But gross margin, it all depends the business turn with our major customer.
Riyadh Lai: And Mehdi, let me also add further to what Wallace said, communicated. We have a lot of products. We have a lot of controllers. We have older products, newer products within our mobile embedded storage product class. We also have a lot of products within our SSD controllers, from our older SATA programs, to our newer PCIe we have many different categories of products. And so we are always constantly blending old products and new products. And so as a result, we've been able to hold our gross margin quite stable. And part of blending, obviously, is coming from new products like the UFS products and the PCIe Gen 4 products.
Mehdi Hosseini: Sure. And then one question for Wallace and specifically as it relates to strategy. You're doing a good job in accruing cash. I understand why you want to be prudent and put the buyback on hold. But I guess I'm also thinking that in uncertain environment like the current environment due to the coronavirus, there may be M&A opportunities as the prices may become depressed. And in that context, Wallace, do you see M&A now a higher priority than buyback?
Chia-Chang Kou: I think under the market uncertainty with many, many potential changes is not a good time to buy -- to do the share buyback. We are not trying to compete with our shareholder regarding purchase cheaper stock. Our main goal is to add value to our shareholders to continue build for the business.
Mehdi Hosseini: Does that mean that M&A becomes a higher priority?
Chia-Chang Kou: It probably won't be the best timing either regarding the M&A during this moment.
Riyadh Lai: Yes. Broadly, Mehdi, there's just a lot of uncertainty, especially as the year progresses. And as you know, transactions take time to execute and more uncertainty, the more difficult it is to plan accordingly for the execution of these type of projects.
Operator: Your next question comes from the line of Craig, B. Riley from FBR.
Craig Ellis: Congratulations on the good execution in the first quarter. So I just wanted to start with a follow-up to the point on SSD solutions and the generations of product that you have shipping to your lead customer. The question is, as you go from shipping, first generation, since the third quarter of last year to second-generation and third-generation later this year, is there overlap in those product sales? Or as you're bringing out next-generation product, does that really cannibalize prior generation? And what are the margin implications within that business as you get from one generation to the next?
Chia-Chang Kou: So regarding the enterprise SSD solution business model, so revenue, we plan really design win from last year. So by this year, all the product in the under development is prepared for next year revenue ramp. So this is a 1 year ahead when you really -- before you have revenue. So the pricing, everything will be discussed by end of the last year. Regarding this year, was the volume, was the pricing, and was it really NAND and with the qualification in NAND mandate.Regarding Alibaba consignment, NAND procured by Alibaba themselves, but they don't have nothing to do with us. But when we go to second generation, for example, that's really for its 2021 sales revenue for this year, is still maintain the first generation even with shipping partially from third quarter last year, but main volumes do maintain the same solution because enterprise customers like to see the stability of product shipment.
Riyadh Lai: Craig, let me also add what Wallace has said on the gross margin. The gross margin of our Alibaba program last year were less attractive because of NAND pass-through. We were not selling to Alibaba under a consignment model last year. Last year's business with Alibaba, we bought the NAND, NAND was -- would flow through our balance sheet and our P&L, and so the gross margin related to these sales were fairly low. Beginning in the first quarter, we started transitioning from this buy and sell to a consignment.And going into the second quarter, all of our sales to Alibaba will be on a consignment basis. And so as we move to consignment basis, the gross margin are going to be a lot more attractive. And so if you look into next year, when everything should be full consignment model, gross margin will continue to be quite good for, as it relates to our Alibaba sales.
Craig Ellis: Excellent. And then just a follow-up regarding next year since both you mentioned it within the last month or so even last, there's been reports that that customer's planned CapEx for next year will increase very significantly and over a multiyear period. So can you just talk about the volume expectations that are part of the discussions you've been having with the next-gen products for calendar '21? How has that changed year-to-date in light of the changing expectations?
Wallace Kou: We feel very happy for our customers to have a such a big investment for the capital for the data center. However, we cannot really discuss regarding the portion of how many [indiscernible] the pie we got from our customers. But we remain a very strong relationship and working for new technology to grow together for next year.
Craig Ellis: Excellent. And then if I could just follow-up with one more back on the SSD controller side of the business. I believe there was a mention of gaming platforms and the potential to participate in those. Can you just talk about that opportunity? And how that could unfold? And are there some other similar on end supply implications for participation there? What are the key variables that we've determined whether you could be in? And any thoughts on share would be helpful as well.
Wallace Kou: I think our customers are all interested in growing their presence in key market segments, consumer electronics, of which game console is a part, is one of the 3 clients in the segment. The other 2 segments are PC and external storage. Our focus is to provide the controller so our customers can compete to win. Our customers are, program it in choosing market segment and customer to focus when they have a choice. Game Console OEM to start introducing their first device with SSD later this year with a per year volume likely small. I think you should expect to see our controller in-game console SSD in the near future when volume scale. The OEMs refresh their console design annually, and we do have a very, very strong product for PCIe Gen 4 being in that category.
Operator: Your next question comes from the line of Karl Ackerman from Cowen.
Karl Ackerman: How would you characterize controller inventory levels at your mobile and SSD controller customers? And additionally, are you also seeing any abnormal amount of order cancellations or push-outs from either mobile or consumer SSDs or perhaps any order pushouts from the social media company in your Shannon business? Then I have a follow-up.
Wallace Kou: It's very hard for us to comment the inventory level from our customers. I think for large customers, they all have a different strategy and allocation when they see certain market and decline they were moving toward, to data center PC client SSD. We don't know exactly how they manage because every major customer for the smartphone maker, minimum they have to keep a 2-month inventory. That's a standard rule. But we really cannot comment. We don't know the inventory level.
Karl Ackerman: Got it. That's, Okay. And just back on capital allocation and inventory. I know that inventory has ticked up a few weeks in the March quarter. How do you think about working capital for the June quarter and for the balance of the year, particularly as you switch to a consignment model for your SSD solutions business?
Riyadh Lai: Karl, our inventories in, at the end of the first quarter went up a bit. It went up to roughly 128 days, which is higher than 101 days in the prior quarter, but it's still much lower than the 154 day that we had a year ago. So if you were to look at our, the last, the 4 quarters of last year and look at the inventory days, average inventory days of 4 quarters of last year. They averaged about 132 days. So 128 days that we had in Q1 is still lower than average of last year. So we feel fairly comfortable about our inventory days. We've been investing in terms of working capital, in terms of inventory, building inventory to support our OEM SSD and mobile control programs.So these are all very necessary working capital investments in order to support our customers.
Operator: Your next question comes from the line of Suji Desilva from Roth Capital.
Suji Desilva: A nice job on the execution in these challenging times. So a couple of questions. First of all, on the SSD controller, do you expect, what was your share in SATA? And then do you expect a similar or higher share in PCIe controllers?
Wallace Kou: So we think we mentioned in last, fourth quarter, only the first time we see our PCIe sale revenue exceed SATA, but we didn't really comment regarding the unit. So far, we've seen the SATA, the total unit still maintain very healthy in the channel market, and they're going to stay the long tail in the channel market. But PC OEM, they are quickly transitioning from SATA to PCIe. Most of our new design socket design project, all PCIe and EME.
Riyadh Lai: So probably, let me also add, Suji. We believe our market share has been increasing, was roughly 1/3 last year and likely have inched up, and we believe will continue to inch up as this year progresses.
Suji Desilva: Okay. So PCIe is already crossed over here. And then second question on SSD solutions. A lot of questions on the call, I know, but, can you compare what you expect the peak revenue to be, given all the moving parts for this business in the next few quarters versus what it was the prior peak, just to understand relatively quantitatively and qualitatively, how it will compare?
Wallace Kou: In normal regular season, the peak has sales revenue for all these solutions will be in Q3.
Suji Desilva: And I was talking about the magnitude of the peak, Wallace, whether it would be similar to the prior peak or whether it be higher or lower, given the...
Wallace Kou: We really cannot comment the relative, the peak will be, what is the magnitude, but really, the Q3 will be the major sales demand from the SSD solutions, especially for Alibaba.
Suji Desilva: Okay. Fair enough. And then my last question is on the UFS market and smartphone. Do you have a sense of what the end exiting '20 attach rate or mix of UFS in the smartphone market is relative to end of '19? Just to understand how quickly it's ramping up in the midrange versus the premium?
Chia-Chang Kou: And because we see the Qualcomm really supported uMCP, this is a UFS controller with NAND and mobile DRAM, that really speed up the transition for uMCP to replace eMCP for a mainstream smartphone. We see the transition moving very quickly. But definitely, by end of this year, I think the uMCP and UFS will be more than 50%, 60% of total smartphone market. So the transition is very, very fast. Very, very quickly, we do see in all the major smartphone OEMs favor UFS and uMCP solution.
Operator: Your next question comes from the line of Gokul Hariharan from JPMorgan.
Gokul Hariharan: First of all, let me ask a little bit about how you feel about demand? I understand that there are a lot of volatility and variability in demand. But if I think about second half, among the three segments, on a half-on-half basis. Do you feel that all three segments are likely to struggle, and we should see probably flattish or even declining half-on-half momentum for all three segments?Or do you think that some segments could actually still power through and continue to grow in second half of the year? And also on the demand side, can you talk a little bit about compared to the previous call for the Q4 '19 earnings call, could you talk a little bit about where the demand has increased especially because of the stay-at-home, work-from-home kind of demand? Has it been primarily SSD controllers in the PC OEM side? Or have you also seen some increases in the SSD controller for channel customers as well as on the SSD solutions? I had a follow-up question as well.
Chia-Chang Kou: Okay. Let me answer the first question regarding COVID-19 impact. We're on the global economic -- regarding the second half. Although our visibility is not clear for second half, but we believe for SSD solution and our client SSD will maintain strong for -- regarding growth rate. For smartphone mobile because really there's a big uncertainty, because we think we have a good momentum, because we have a great design win and pipeline from both U.S. OEM and China module maker.We own majority of China module maker design win. But it's very difficult to predict smartphone trend. As you can see, Samsung and Apple cut their forecast. So really, I think we have to watch month-by-month to see how the recovering would go. That -- so we have confident all our three product lines going to grow compared with last year. But in the second half, we are pretty sure our SSD solution and client SSD controller will continue to grow.
Gokul Hariharan: Do you worry that there is any sort of pull-in demand that has happened in Q1 and Q2, which could result in some weakness on the PC side of the equation? I think some of the other semiconductor companies, such as Intel and AMD have talked about PC likely to kind of cool off going into second half, given a lot of the pull-in demand. So do you still feel comfortable that SSD controller can still grow even if PC demand is still sit down half-on-half in the second half of the year?
Wallace Kou: That is correct because our major customer for the first half, the NAND makers, they allocate much more NAND output to data center. So we really, do not really benefit much stronger PC OEM demand for the first half, but we already see the growth because we have a much broader socket from broader customer base. So we see the second half if data center's really demand slowing down of smartphone maintenance weak position, our NAND makers, our OEM customers, will reallocate NAND output to client SSD.
Riyadh Lai: Gokul, let me also add, when we look at our visibility, we're looking at our visibility from 2 different perspectives, the perspective of our order books. And the perspective of a more theoretical approach. Our order books today for our OEM programs relating to both on the controller side as, on the SSD controller side as well on the mobile controller side. We already have visibility extending through to the third quarter. It's the fourth quarter that's a little more problematic, right? But at the same time, when we look at our overall business from a more theoretical approach, based on a more sensitivity analysis, what we also see is even if overall PC sales were to decline and decline meaningfully, and also what if overall mobile phones were to decline fairly meaningfully this year.We believe our overall SSD controller as well as UFS controller sales will continue to do very well because of the transition. The transition on the PC side from HDD to SSDs. The speed of this transition will continue to offset the slowdown, potential slowdown of PCs. And likewise, on the smartphone side, if smartphones were to decline meaningfully, the speed of the transition from eMMC to UFS will more than offset the decline of overall smartphones.
Gokul Hariharan: Okay. One quick follow-up on the inventory. Could you talk a little bit about is the inventory that you carry in the balance sheet mostly solutions related, NAND flash, for example? Or is it a significant part of it is controllers as well? And any thoughts on how you will, your inventory is likely to look at, especially for the controller side exceeding Q2?
Riyadh Lai: Gokul, most of our inventory are for controllers. Controllers that we have built out for the important OEM programs that we're expecting to ship in upcoming months and quarters. But we also do have some flash that we've built for our non-Ali SSD solutions projects. And so those are also important for business that we're expecting in the upcoming quarter.
Wallace Kou: And let me add a comment regarding our inventory. As you all know, TSMC, the foundry capacity is overbooking. It's about 100% overbooked to 50% overbook. That's why the lead time become much longer. In normal periods, the lead time is about like a 2 month to 2.5 months. Now the lead time is 4 to 6 months depending on the geometry and technology. That's why I think 128 days, that's really at the minimum we need because the cycle time when you give yield to wafer out, it takes that much time for 4 months. That's a standard for TSMC policy here today.
Operator: Our next question comes from the line of Ariel Shusterman from Needham & Company.
Ariel Shusterman: This is Ari. I'm taking the question for Raji Gill. So first, I wanted to talk about your expectations for client SSD growth in the second half 2020, given the, how different scenarios you guys outlined, particularly regarding hyperscale SSDs. The growth, how the growth on that looked at, the supply of clients SSDs in their business?
Riyadh Lai: We're expecting our overall SSD controller sales to continue to grow strongly. With PC, near term, we have a lot of demand from our customers for the work-from-home, online learning, that's driving a lot of incremental procurement in near term. And as the year progresses, we're going to continue to expect more PCs to continue to ship with SSDs as they transition away from hard disk drive. So this is a longer-term trend that we've been seeing, and we will continue to see through the rest of this year.
Ariel Shusterman: Okay. And, yes, regarding your Ferri product line, can you provide some color on the traction that has been received?
Wallace Kou: Ferri product line, last year, due to the price declines, that's why we slowed down a little bit. But this year, we are growing and to the right direction. Major growth from Ferri product line is one for automotive, second is really for the server boost storage product. And we will see very strong growth and rebound start from Q2 this year.
Operator: Your next question comes from the line of Donnie Teng from Nomura.
Donnie Teng: My first question is also regarding the gross margin. I think it probably has been answered, but just a little bit curious about, because in the first quarter of guidance, you gave a relatively conservative gross margin guidance, but in the result it's like, you still reached over 48% gross margin, and the second quarter gross margin guidance also not that bad compared with the first quarter guidance. So just curious of what exactly changed when we gave out the first quarter guidance in early this year, first as the result and guidance right now? Is there any new products that maybe previously, we did not include in our guidance, such as like infrastructure-related controllers? Just curious about that.
Riyadh Lai: Well, Donnie, originally, we were expecting slightly stronger overall revenue growth for the first quarter, and we ultimately came in the lower half of what we had guided. So for us to have made our stronger number that we were originally anticipating, we were anticipating a slightly stronger SSD solution sales. And so if we have stronger SSD solution sales, our overall gross margin would have been blended down more than what we saw when the SSD solutions were at slightly lower levels. Additionally, our SSD solutions, the gross margin also improved a little bit versus what we had originally anticipated. So the combination of these two factors helped boost our overall gross margin profile for the first quarter.
Donnie Teng: So just a quick follow-up. So is there any like organic gross margin improvement for the controller business as well? Or is it just maintained at the previous level like last year?
Riyadh Lai: Our controller gross margins sequentially from fourth quarter, first quarter were very stable, essentially unchanged sequentially.
Donnie Teng: Okay. Got it. And my second question is regarding to your second half outlook potentially. So it sounds like -- as Wallace said, for SSD solution and client SSD controllers, you probably are more positive from that. Just curious about whether our growth momentum means in terms of both quarter-on-quarter, and year-on-year? Or just simply referring to year-on-year growth? Why is that...
Chia-Chang Kou: For both.
Donnie Teng: Both?
Chia-Chang Kou: For both, quarter-to-quarter, year-over-year.
Donnie Teng: Okay. Got it. And may I have a follow-up, is that you mentioned about maybe some NAND supplier earnings release will translate their NAND to consumer products in the second half, if there is any demand slowdown on the maybe server side? May I ask is that mainly referring to like customers like Intel? What I ask is because if Intel seems like you have a stronger momentum for server side in the first half, and also I think the client SSD controller shipment in the first -- our client SSD controller shipment in the first quarter is not that high for Intel's product.
Chia-Chang Kou: We really cannot comment individual customers because every customer have their choice, priority, regarding how to maximize the best interest and profit. So it's all -- that's why -- but overall, we believe our client SSD will continue to grow strongly in the second half, even quarter-to-quarter or year-over-year. But it doesn't matter NAND really -- data center demand is stronger or weaker, I think we can grow either mobile side, our client SSD, our enterprise SSD solution off the rack.
Operator: Your next question comes from the line of Jeff Hsu from MS.
Jeff Hsu: So first, I want to quickly follow-up on Donnie's question on the China SSD solution opportunities. So I think -- let me try to ask a question in a different way. So if we look at your key Chinese customers, a recent announcement in the cloud investments, how does that affect our outlook compared to last time when you provided your SSD solutions' outlook?
Chia-Chang Kou: I think their announcement is for three year capital investment. I don't think it will affect our outlook for this year. And just remember, our business with the Alibaba is changed to consignment base. So revenue at a dollar sale is not that great, but the margin will be wonderful.
Jeff Hsu: Okay. And maybe just a very quick follow-up. When you mentioned first quarter SSD solution, revenue was tracking a little behind your original expectations, does, and I understand how long is your typical order visibility in your SSD solution business?
Wallace Kou: Regarding the Q1, particularly, regarding our SSD solution portion, there's a couple of million dollars, which we suppose to ship and we cannot ship. It's not because customer cancel or postpone, it's because if certain material will be impact by China lockdown and customers cannot produce and ship the product to their end customer. That's why that revenue is being been postponed. So normally, I think our visibility is very high for SSD solution, the orders were probably 4 million to 6 million events PO to us.
Jeff Hsu: Okay. That's very helpful. And maybe if I may ask a second question on your full year outlook. So if you look at, just to recap the comments you mentioned during this call, so a client SSD outlook remains pretty strong with visibility extending at least at the OEM side into the third quarter, China solutions, SSD solutions visibility also seems pretty well. So I'm curious, by, with the withdraw of your full year guidance, does that imply fourth quarter uncertainty is really, really high and that may fluctuate so much compared to your previous guidance you provided?
Riyadh Lai: Jeff, there are a lot of, broadly, what we've seen is a regional epidemic issue centered in China, expand into a massive global pandemic with economic issues, a regional economic issue with broadening into a massive global economic recession, likely a severe one. And so as the year progresses, the more, we're going to be facing more and more uncertainty. From our own perspective, our order books, we have order book visibility through the third quarter. But when it comes to the fourth quarter, we no longer have that. And with all the various moving parts, we feel that if our large OEM customers are, don't have visibility in the fourth quarter, then that will also impact our own visibility. So the prudent thing is to not guide what we do not have.
Operator: There are no further questions at this time. I would like to hand the conference back to Wallace Kou for closing remarks.
Wallace Kou: Thank you, everyone, for joining us today and for your continuing interest in Silicon Motion. In the second quarter, we will be attending virtual investor conferences hosted by several banks. The schedule of our attendance will be posted in our website. Until we next meet, stay safe, goodbye for now.
Operator: Ladies and gentlemen, this concludes this conference call. Thank you for participating. You may all disconnect.